Operator: Good day, everyone, and welcome to this Manitowoc Company Inc. First Quarter 2013 Earnings Call. Today's conference is being recorded. At this time, I would like to turn the opening remarks and introductions over to Mr. Khail. Please go ahead, sir.
Steven C. Khail: Good morning, everyone, and thank you for joining Manitowoc's first quarter earnings conference call. Participating in today's call will be Glen Tellock, our Chairman and Chief Executive Officer; and Carl Laurino, Senior Vice President and Chief Financial Officer. Glen will open today's call by providing an overview of our quarterly results and business outlook. Carl will then discuss our financial results for the first quarter in greater detail. Following our prepared remarks, we'll be joined by Eric Etchart, president of Manitowoc Crane for our question-and-answer session. For anyone who is not able to listen to today's entire call, an archived version of this call will be available later this morning. Please visit the Investor Relations section of our corporate website at www.manitowoc.com to access the replay. Before Glen begins his commentary, I would like to review our Safe Harbor Statement. This call is taking place on May 1, 2013. During the course of today's call, forward-looking statements, as defined in the Private Securities Litigation Reform Act of 1995, will be made during each speakers' remarks and during our question-and-answer session. Such statements are based on the company's current assessment of its markets and other factors that affect its business. However, actual results could differ materially from any implied projections due to one or more of the factors explained in Manitowoc's filings with the Securities and Exchange Commission, which are also available on our website. The Manitowoc Company does not undertake any obligation to publicly update or revise any forward-looking statement, whether as a result of new information, future events or other circumstances. With that, I'll now turn the call over to Glen.
Glen E. Tellock: Thanks, Steve, and good morning, everyone. We are pleased to report solid first quarter results as we continue to successfully leverage our innovative technologies, diverse product offerings and geographic reach across the entire Manitowoc enterprise. Despite some pockets of economic uncertainty, we ended the first quarter with positive sales momentum and continued margin expansion through the successful execution of our long-term strategies. Foodservice posted another quarter of sales growth despite some deferred spending among large customers. And while we maintained healthy margins in the business, we did experience some moderate year-over-year contraction. This decline, which we anticipated, was primarily driven by our focus on investing in ongoing manufacturing strategies in Mexico and Cleveland complemented by New Product Development. Positive sales performance in Foodservice was driven by new product successes in various product categories and select end markets. This included momentum with our Convotherm ovens, success with Indigo ice machines, plus the continued rollout for the Multiplex Blend-in-cup units to support a launch in the European market. From a geographic standpoint, we experienced balanced growth across all regions. Despite a quarter of lackluster consumer confidence in North America, we maintained our strong position in this region, and we remain confident in its long-term growth profile. EME, historically one of the toughest markets in Foodservice, grew significantly during the quarter, which was primarily driven by the previously mentioned Convotherm product line and our blended beverage rollout. And while China remains somewhat challenged, we continue to see growth by the major chain restaurants in this region. Looking at our Crane segment, our first quarter results were encouraging as we experienced solid year-over-year sales growth, driven by focused execution across all levels of the business. We also expanded margins by 150 basis points. During the first quarter, new orders were up modestly from year end 2012. Geographically, we continue to see growth in North America as Crane customers are beginning to renew their fleets due to increased project activity and improving rental rates. In addition, we experienced continuing demand in certain emerging markets such as Asia, Latin America and the CIS, which was muted by an ongoing slowdown in the Middle East and Africa, as well as weakness in Australia. Not surprisingly, demand in Western Europe remained weak. During the quarter, we saw strengthening demand across a variety of our product categories in Cranes, which included crawler cranes in the Americas, complemented by large rough terrain cranes and all-terrain cranes on a global basis. Most of these product lines continue to be driven by strength in the energy and infrastructure markets. Our Crane activity improved in select emerging markets, such as India and the CIS region, but this product line continues to experience ongoing softness in Europe. Moving on, I want to quickly touch on the major industry trade shows that each of our segments participated in recently, which were highly successful and support our increasing confidence in our full year outlook and long-term positioning. At the NAFEM and Bauma trade shows, our interaction and engagement with customers centered on several of our company-wide strategic initiatives, including the new standards of innovation and technology that our products are creating in the market. At NAFEM, we demonstrated our continued focus and push toward increasingly user-friendly products that accelerate the cooking process, offer multiple cooking platforms within 1 piece of equipment and consume less energy and water. An example of this includes our newest ice machine the NEO which is an all-in-1 undercounter ice making and storage solution that provides an enhanced level of performance, reliability and convenience. Other Manitowoc Foodservice innovations that we featured at NAFEM included technology enhancements for our Merrychef ovens, Frymaster's high production fryers, Convotherm's Combi Ovens with smoker technology and the next-generation of the Multiplex Blend-in cup units. Equally impressive, Manitowoc Foodservice was recently named an EPA ENERGY STAR Partner of the Year for the fourth consecutive year. With 556 products in our ENERGY STAR portfolio, this noteworthy recognition exemplifies our continued leadership in protecting the global environment through our sustainability initiatives. Similarly, our Crane segment continues to capture the industry's attention by a strong combination of innovative products and services. At Bauma, we launched 3 new technologies, including Manitowoc Falcone, a new collision avoidance solution for cranes; Global CraneSTAR Express, a comprehensive crane monitoring and data tracking system; and CCS our common control system technology, which provides an identical control interface across our crawler tower and mobile platforms. Among the new product introductions, Bauma also gave us the global stage to launch the Manitowoc MLC 165, a new 165 metric ton capacity crawler crane. [indiscernible] on the global exposition to introduce 2 new rough terrain cranes plus the new 3-axle, 60-ton capacity all-terrain cranes. In addition, Grove GMK 6400 received an ESTA Innovative Manufacturer award for its host of innovative features, including a patented dual source powertrain. Rounding out the Manitowoc display, Potain premier 3 new tower cranes and high-speed winch. As a result of these new products, coupled with the encouraging order intake generated by Bauma, we have increased confidence in achieving our financial performance objectives and full year guidance. With the release of our new products, the quality initiatives that we undertake as part of our routine R&D efforts significantly enhances our Crane designs and product reliability metrics before any new Manitowoc crane enters the market. This is best exemplified by the Grove RT770E, a new 70-tonne capacity rough terrain crane, whose quality and reliability were validated with 10 years of accelerated life cycle testing prior to its launch. Overall, both NAFEM and Bauma provided us with the opportunity to showcase our industry-leading product lines and for our customers to witness the results of our investments in innovation and new product development. The feedback we received was not only extremely positive and encouraging, but it was gratifying to see that our strategies and value propositions are clearly resonating with our global customers, who constantly seek new ways to enhance their operations. Before I conclude, let me remind you of several strategic investments we continue to implement as part of our long-term growth strategy. First, we are continuing construction of our multipurpose Foodservice manufacturing facility in Monterrey, Mexico. We expect customer shipments from this new facility to begin later this year. In addition, we are consolidating certain beverage equipment production to an existing facility in Tijuana, Mexico, which should be completed by midyear. We are also combining our U.S.-based oven facilities to a facility in Cleveland, Ohio. The manufacturing function has been effectively consolidated, and we anticipate the service and support functions to be integrated and operational prior to year end. In Cranes, we remain committed to improving our footprint in manufacturing efficiencies globally. A testament to this is development of a shared services platform in France to serve our tower crane manufacturing and support operations in multiple locations, which we will start to see a benefit in the third quarter of 2013 with the full project completed over the next 12 months. In addition, we have also accelerated our lean initiatives across all of our European operations to boost our manufacturing efficiency helping us drive near-term profitability, as well as increase in manufacturing throughput. To conclude, we remain confident in our 2013 outlook and see many positives as we start the second quarter as both businesses continue to benefit from the significant investments we have made to upgrade our global manufacturing network, improve operating efficiencies and drive product innovation. We are confident in our capabilities to enhance our market leadership positions and drive continued revenue growth and margin expansion. I'll now turn the call over to Carl to discuss our detailed first quarter financial results. Carl?
Carl J. Laurino: Thanks, Glen, and good morning, everyone. We reported net sales for the first quarter of $898 million, which is an increase of 5% from a year ago. GAAP net income for the first quarter was $10.4 million or $0.08 per share versus the net loss of $300,000 or breakeven on a per share basis last year. EPS, excluding special items, was $0.09 per diluted share in the first quarter of 2013 versus breakeven per diluted share last year. During the first quarter, cash used for operations was $108 million versus $130 million in the prior-year quarter driven by cash used for working capital to support the growth in both segments. For the remainder of 2013, we will remain focused on achieving our cash flow targets as we continue to prioritize debt repayment while also funding our growth and process improvement initiatives. We also remain on target to deliver at least $200 million in full year debt reduction through cash from profitability. We expect the pace of our debt reduction to be similar to the normal seasonal pattern, which is to say that the bulk of the debt reduction will occur in the fourth quarter. Turning to our segment results, Foodservice sales in the first quarter of 2013 totaled $351 million, up 2% from a year ago. First quarter 2013 operating earnings in Foodservice were $49 million, down 4% on a year-over-year basis. Operating margins of 14% were 80 basis points lower than the prior-year quarter, but we still anticipate full year margins to be in line with expectations. In addition to the ongoing investments in our key brands and product categories that Glen previously noted, first quarter Foodservice margin comparisons were adversely impacted by a $2 million nonrecurring pension adjustment that benefited first quarter 2012 earnings. However, these margin detractors were partially offset by our product cost takeout and lean manufacturing initiatives. Moving to the Crane segment, first quarter sales totaled $547 million, a year-over-year increase of 8%, which included a nominal impact from currency exchange. Overall, Crane segment operating earnings in the first quarter were $31 million versus $21 million last year. This resulted in a first quarter Crane segment operating margin of 5.7%, up 150 basis points. This year-over-year comparison was positively impacted by higher sales volumes, operational efficiencies and price cost benefit. Crane backlog at quarter end was $776 million, a decrease from $931 million in the prior year quarter. For the first quarter, new orders totaled $569 million, which represents a book-to-bill ratio of 1.04x. EVA in the first quarter of 2013 increased by 7% versus the first quarter of 2012 with contributions to the improvement coming from both segments and the larger improvement generated by our Crane segment. Before concluding my remarks, let me discuss our 2013 outlook. As noted in yesterday's press release, we are reaffirming our guidance for 2013. For the full year, we expect mid-single digit revenue gains in Foodservice and high-single digit revenue growth in Crane. We expect to achieve a continuing mid-teens operating margin in Foodservice and a high single-digit operating margin in cranes. We view 2013 as a transition year for Foodservice margins where improvements in the core business will offset strategic investments that lay the groundwork to realize our longer-term high-teens margin expectation. Other guidance expectations include capital expenditures and interest expense of approximately $100 million and $125 million, respectively. Debt-to-EBITDA were once again declined more than 1 full turn to below 4x, approximately 1/2 the peak level experienced in 2010. Finally, we expect the full year effective tax rate to be in the mid-30% range with seasonal volatility similar to our 2012 results. With that, I will turn the call to Glen for his closing comments. Glen?
Glen E. Tellock: Thanks, Carl. We continue to have great confidence in our business and the strategies we're implementing across the entire Manitowoc enterprise. With our proven track record to manage the company in virtually any market environment and our strong market leading positions in both of our segments, we believe Manitowoc is well positioned to continue -- to drive continued growth, margin enhancement and shareholder value in the year end. This concludes our prepared remarks for today. Shannon, we will now begin our question-and-answer session.
Operator: [Operator Instructions] And our first question comes from Robert Wertheimer with Vertical Research Partners.
Robert Wertheimer - Vertical Research Partners, LLC: Just wanted to check on your current view on the timing of full shipment versus your expectations at Tijuana and Monterrey and just the timing of margin tailwind coming through versus the headwinds. So when is shipping and when do you expect the full benefits to be flowing through on a sort of quarterly basis?
Glen E. Tellock: And you were talking about the consolidation in the beverage side that we said in Tijuana?
Robert Wertheimer - Vertical Research Partners, LLC: Yes, beverage and then also the multipurpose in Monterrey.
Glen E. Tellock: Okay, okay. Well, what you'll see is with respect to the beverage side in Tijuana, that's a midyear completion. So the benefit should start as we get into the latter part of the third quarter but certainly in the fourth quarter of this year. And then with respect to the facility that we have in Mexico, you're going to start to see some of the first products being built down there which are kind of the prototypes and the liability testing and that could happen as early as the end of May and into June, but really the benefits are going to start later this year in the fourth quarter.
Robert Wertheimer - Vertical Research Partners, LLC: And then by the time you start next year, will you be fully ramped on all the extra expenses from testing or from training or whatever? Will those be out? Or will that linger into next year?
Glen E. Tellock: No, we shouldn't have the training expenses. I mean it should be very similar to what you saw when we did the facility in Brazil. I mean it's going to be a quarter or 2 of the start up. You've got to remember there's a little different product to get going. We just need to get the people. That's really what we have, and that's the big thing between now and fully in embattled in Monterrey by the end of the third quarter, but I mean it's obviously a different product and so I think the kinks are out certainly by the end of the year.
Carl J. Laurino: Rob, this is Carl. From a modeling standpoint, I would say our ability to get to the guidance that we've given for Foodservice, the flat margin and making up for the margin erosion that we saw this most recent quarter is definitely going to be very heavily skewed to the fourth quarter. We're going to be pretty flat in the interim quarters.
Operator: And next we will go to Andy Kaplowitz with Barclays.
Andy Kaplowitz - Barclays Capital, Research Division: Glen, can you talk a little bit more about what you mean when you say that Bauma was a record-breaking event? I guess what I'm getting at is seasonally 1Q is usually the strongest with 4Q in orders. Does that mean 2Q now could be the strongest? And what is a record for you guys? Is it like $100 million, $200 million? Any quantification you could give us would be great.
Glen E. Tellock: Well, I think the initial comments from our record Bauma, that means I think the show itself. Not think, we meant it as the show itself. There was 500,000 participants. You looked at the number of exhibitors. You looked at the number of new products that were there. By all accounts, Bauma was a very successful show as a trade show. And I think compare it to the last time when you had the disruption from the eruption, when you had the volcano, many of your customers couldn't get there and all that kind of thing. So I think, if anybody was at the customer event on Wednesday night, I mean, by all accounts it's very successful and that gives you confidence there. And then when it comes to the order side and the move we've taken, I'll let Eric talk a little bit about that. But typically, we don't give out the numbers of what orders we take. But yes, a lot of times it skews between that first and second quarter when you have -- and next year ConExpo is in early March. And if it's as successful as Bauma, it's going to go back between the first and second quarter, but it does impact it a bit. Eric, if you want to talk about the orders?
Eric P. Etchart: Well, Andy the orders have been strong for Manitowoc. It's been a great show. I think we're certainly very proud of the new products we had on display. Those new products attracted a lot of orders, I must say, and especially the GMK6400, which has got the ESTA innovation award. We have many patents, a lot of innovation in that crane. And I just can't wait to see that crane start shipping. The show also show obviously demonstrated that there is a high confidence level in many people around the globe even in Europe. Although notwithstanding the bad economy, I mean, we saw a lot of customer eventually purchasing some cranes, primarily GMK. So great show. I think we demonstrated that Manitowoc is at the top of innovation.
Glen E. Tellock: And one thing I would add to that, Andy, is we generally don't say a lot when it comes to just the number on what the order intake is because of the fact you don't know if somebody is just waiting to come and bring in order to Bauma, they're going to be there. And so it's hard to say that it's -- it wouldn't have been in the first quarter anyway if you didn't have Bauma and this and that but what I would say is that we had pretty high expectations that this should be a good show and I would say that those expectations were realized.
Andy Kaplowitz - Barclays Capital, Research Division: Okay, that's helpful, Glen and Eric. So I feel like I'm picking on Eric a little bit but I'm going to do it anyway, so 150 basis points in the quarter is good in cranes but at the same time you guys know you had a pretty easy compare with 1Q last year. I think you -- a month of it was affected by the strike. And so you did 25% incrementals when price/cost should be helping you and you have that pretty easy compare. So how would you really assess the quarter? And does it really give you confidence that you can sort of reach that high single-digit margin as you go forward because I know you've been taking cost out of the business too. So I kind of thought maybe you could do a little better there.
Carl J. Laurino: This is Carl, and I'll turn it over to Eric for any color he wants to provide. But obviously, at the 25% incremental, it is toward the top end of our overall guidance. There's things that have a flow-through effect as you look at the things that we're embarking on for operational improvement. To your point, we were favorable from a price/cost standpoint, but I would say what we're able to do was very consistent with what our expectations were when we gave the full year guidance.
Eric P. Etchart: And I think, Andy, we are focusing on our operational efficiency. We have tremendous potential to improve the gross margin lines. Glen mentioned about the lean initiative we have in Europe. I would also mention the quality initiative that we have. We have seen a very good reduction of cost of quality as we move, we started last year and we see these improvements moving forward. So I think we are well positioned to meet our guidance in terms of margin improvement.
Operator: And next we will go to Jerry Revich with Goldman Sachs.
Jerry Revich - Goldman Sachs Group Inc., Research Division: Glen or Carl, in Foodservice, I'm wondering if you could talk about what was the expense headwind from the investment in the manufacturing footprint and lean initiatives, and help us understand, if you don't mind, the cadence of that spending over the next couple of quarters.
Carl J. Laurino: If you take all of these projects in aggregate, it's probably on the order of $5 million roughly. And to Glen's earlier comment that shouldn't diminish as we get a little bit further into the year and you start to get some of the, essentially, the ramp-up in place.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And in cranes, I'm wondering if you could talk about heading into second and third quarter, what regions are you most optimistic about on a pickup in orders? And if you could, within those comments, touch on how much traction you're seeing in South America now that you're ramping up production that's been on the eligible financing product.
Glen E. Tellock: Go ahead, Eric.
Eric P. Etchart: Well, regarding the tractions in terms of product categories, I mean, it's fair to say that we have seen a significant rebound of our product crane business worldwide but especially in North America, for the large crawlers and the small crawlers has been also fairly good. We saw that happening in Q3 last year. It gets sequentially stronger in Q4 and Q1 has been, I think, a very good quarter in terms of intake for crawlers. GMK has remained very strong globally and the large rough-terrain cranes are fairly strong. Again, same driver, is primarily the energy over related activities and we have not yet seen housing really bringing more activities for the boom trucks. In terms of Latin America, I would say everything is going according to basically our plan. We continue to see very strong demand. The competition is fierce right now in Latin America, especially on the GMKs. And for Brazil, we continue to localize our rough-terrain cranes. We will have 4 products being eligible to finance by the end of the year. Right now, we see a little bit of softness in the order intake in Brazil that's due to, I think, the economy there but we save the cost with our localization strategy.
Jerry Revich - Goldman Sachs Group Inc., Research Division: And lastly, can you just help us get a sense of when you expect to increase production of the crawler crane product, did you get any production ramp in the quarter? Or is that more of a 2Q, 3Q in terms of when you see the real ramp in your production?
Glen E. Tellock: Yes, it's second, third, fourth quarter, Jerry. It wasn't a big impact in the first quarter year-over-year but it is, as we talked about the MLC 165 and then some of the other traditional products, but yes, it's a second, third, fourth quarter.
Operator: Next we will go to Ted Grace with Susquehanna.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: So I was hoping to follow up on some of the questions Jerry and Andy asked. And just as it relates to the orders from Bauma, could you characterize kind of like orders versus leads? I mean, I know you reiterated the guidance and you commented that you feel good about hitting it, but how would you just kind of characterize kind of how much of the revenue target you've already got in firm orders, and how much is maybe predicated on good leads you got out of the show? Just to understand those dynamics would be helpful.
Glen E. Tellock: Well, I guess -- Eric and I are looking at each other. I would say obviously the order, that's a known, what we have for the rest of the year. I think you have to remember there's different -- you have to go by region. And when we get into North America, you have the dealer network. And so you get into the dealer network and so it's -- the show's attended pretty well by North America, but it's not the North America show. So those that are over there really are interested, they come for a reason. They come to the show. They want to talk about the new products, they want to talk about what you have coming. And basically, those conversations are about their confidence in the markets and what they're going to do in North America. If they come over, they have a few beers and then they leave the show and go to Austria, you don't get that same confidence that you did from this show. When you get into Europe, it's still more that European show. I think you had the real people there that wanted to buy. It was very well attended. People, while we said Western Europe is still pretty down, there are pockets of enthusiasm and that's what you had in different areas of, and I would call it EME. And then you get to Asia, again it's like the Americas when the Asian -- anybody that was there from Asia that was by us was talking about things that they were doing, the projects they had and giving us the list of projects that they had and the equipment they were going to need at certain points in time. So it's a combination of both of those that as we say we have the orders in hand, plus the confidence that they're going to be following up with our people. It's not just, "Hey, I'm going to start comparing this product against everything." The projects are there and that's what gives us the confidence. Eric, I don't know if you want to add anything there.
Eric P. Etchart: Well, maybe I can say that the number of quotes outstanding is fairly high overall, including some of the region where we have seen some softness like the Middle East and Africa. So this is potentially good for future orders because there is activity going on there in those countries, and I would say the first quarter has been quite soft in that respect. But if you look at our order and backlog, this is what we plan to build. I think we are in a good situation.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: On the China crane JV, could you give us an update on what's happening there and how we should think about the impact on revenue and margins as you change the accounting, I think, from consolidating it to deconsolidating it and reporting it below the line?
Eric P. Etchart: Ted, this transaction is subject to the approval of the Chinese authorities and the antitrust in Beijing, so we are following each of the milestones and I think we are in a great shape to have all the approvals at least hopefully by the end of the second quarter or early Q3. So in terms of impact, I'll let Carl answer you.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Okay, so we should look for deconsolidation by the end of 2Q?
Eric P. Etchart: End of Q2 that's our goal. Of course, we are not completely in control, right? We have the Chinese authorities above that decision but typically if you look back at previous transactions, 6 months was the kind of time frame that was needed [ph] so we should choose for that date.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: The last thing I wanted to ask just coming back to the question Andy asked is on price/cost in cranes, could you just characterize, maybe, kind of Bill of Material, how steel prices are looking both for commodity steel and high tensile, and I'll get back in queue.
Glen E. Tellock: Yes, Ted, I would say the commodities worldwide, I think, are steady. I don't think you're seeing a big ramp-up in commodity costs. I think it's holding and I think when you talked about different slowdowns around the world. I think there is a little bit of better pricing that some of our vendors are talking to us about. So that said, it's a pretty good environment right now.
Ted Grace - Susquehanna Financial Group, LLLP, Research Division: Is it in line with expectations or maybe a little better?
Glen E. Tellock: I would say in line. Yes, I would say in line.
Operator: And next we will go to Schon Williams with BB&T Capital Markets.
Christopher Schon Williams - BB&T Capital Markets, Research Division: We've spent the majority of the call on cranes, maybe I'll switch it up here a little bit here on food. Can you talk about you netted some cost of deferrals in Q1. Anything specifically that you could cite there or maybe just give a little bit more color and then anything in terms of weather impacting you in Q1?
Glen E. Tellock: Yes, a great point on the weather, Schon. It has been an impact as you had a cooler spring throughout many parts of the country here in the United States. So I think that has impacted it a little bit but the other impact that we talked about with respect to -- it's really the consumer confidence. You go back to the early part of the year, let's talk about middle of January when people were starting to get their first paychecks and had a payroll tax hike, you're seeing the impacts of that when you talk to -- when you see the restaurants that are releasing their earnings, some of the chains but even the general market, the feedback we're getting is, "Hey, people are still going out and they're eating but they're just not having the same amount of spend that they typically do at a restaurant." For instance, casual dining. They may go out, they may dinner but they won't get an appetizer or they'll make it 2 appetizers and no dinner. But you're seeing, I think, some of the things are being told that total spend is down a bit. So really that has impacted I think some of the capital spending that projects that people wanted to upgrade even earlier in the year. But we're pretty confident that some of this hopefully reverses itself later in the second quarter, third and fourth quarters. But again, that is really what's impacted the first quarter in Foodservice.
Carl J. Laurino: If I can, Schon, part of the reaction that you'll see out of some customers in this environment where their customers change their behavior as Glen articulated is they'll go on offense but sometimes that in and of itself can create deferrals where they're kind of deciding what they're going to do, what it might mean in terms of their CapEx and the equipment spend they're going to need to satisfy some of those changes that they want to make, and that will create some of this deferral that I think we experienced.
Christopher Schon Williams - BB&T Capital Markets, Research Division: What about weather impact in terms of new store openings, was that a factor at all?
Glen E. Tellock: No, I mean, you've got to remember the new store openings typically are less of an impact in any particular time frame, but you would see on the new stores they're typically it'll be in the second and third quarters. You're not going to see them in the second quarter, that seasonality by itself. But what you will see and I think the one that probably has the most impact on is probably in the ice business when it comes to their order rates, up and down with hot weather. I mean we joke if you see early in the year, you go to USA TODAY and look at their weather map, there's a lot of red on it, that's a good sign for us. But I think when you look at that it has impacted a little bit in the first quarter. Yes, the other one that has been down a bit even though the chains are spending is China's been a little difficult this first quarter but again that's why we call it a CapEx deferral and I don't think it's just something, they're not going to stop.
Christopher Schon Williams - BB&T Capital Markets, Research Division: Okay. And then maybe if I could sneak one more in, on the margins I think you talked about maybe impact from restructuring or reorganization on a year-over-year basis. But can you give a little additional color on maybe the pension and the mix headwind and maybe quantify that if you could?
Carl J. Laurino: Overall, obviously, we've got some benefit over the slight growth that we did have. And from a pricing, which as you look at in aggregate it wasn't -- it's actually stayed, as we look at the full year I would say based upon the comments that we expect to be favorable to the original expectations on the material cost side. But if you look at it year-over-year, maybe it was up a little bit that we had overcome. So overall, I think I would go back to my earlier comment that we've guided to flat margins in Foodservice. I think the ability to make up for what we lost in the first quarter is definitely going to be skewed to the fourth.
Operator: Next we will go to Charlie Brady with BMO Capital Markets.
Charles D. Brady - BMO Capital Markets U.S.: On the margins. First, on the crane side, as you talk about more crawlers picking up, particularly the heavy crawlers which are on the higher-margin side, do you think as you go through the rest of '13, the margin improvement comes more from higher volumes running through the plants or you get a greater benefit from the mix?
Carl J. Laurino: I think it's not necessarily, I mean we're going to have some growth, as you know, this year, and we'll get the absorption benefit from that. But I would point to the margin expansion more in terms of some of the things that we're going to get out of the quality benefit that we're getting, as well as the product cost take-out initiatives and efficiencies that we're going to put in place. I think the mix standpoint because especially when you get to the higher end of the crawlers, that ends up -- that's the longest production time and it takes longer and longer to deliver as you get higher and higher in the capacity range.
Eric P. Etchart: Charlie, maybe one on the mix. The tower cranes, as you know is also a driver of the mix. And unfortunately, right now, we have softness in Europe. I mean, we see, obviously, some good markets in other places like Asia or even in the U.S. I mean, if you think about it, I mean we got 3 orders from U.S. customers at Bauma which give you a sense of confidence that the telecom business in the U.S. starts rebounding which is a very good sign. If you take the City of Vancouver, for example, they have 100 potential projects with tower cranes and the interaction has put that in demand so that's going to be helpful now. This is not going to mitigate the softness that we see in Europe. And in terms of mix, I don't think we can count on the mix really to up the sales, this is why we are so focused on our operational efficiencies.
Charles D. Brady - BMO Capital Markets U.S.: Just switching over to Foodservice, your commentary on a lot of the margin from being fourth quarter weighted, generally in fourth quarter we get a pretty sharp drop-off sequentially from Q3. And I'm wondering does that normal seasonality get muted to any meaningful degree because of the way some of these consolidation benefits are hitting Q4?
Carl J. Laurino: Yes, I think, I would say to some extent we'll still definitely see the seasonality just because of the way the order and the delivery patterns work in the business and the importance of absorption in the factories overall to the margin profile. But I think there's an opportunity for us to really kind of make up for the margin erosion that we saw in the first quarter in the fourth.
Charles D. Brady - BMO Capital Markets U.S.: One final one on kind of bigger picture. I'll get back in the queue. There's some legislations proposed in Congress about permanently extending the 15-year tax depreciation for leasehold improvements and restaurant improvements and some other things. I'm wondering has that entered the conversation you're having with customers in terms of are they holding back in anticipation of this? And on the other side of that, if this happens to pass and who knows if it will, any gut feeling on how that might spur investment for you guys?
Glen E. Tellock: I can tell you it hasn't entered very many conversations, Charlie. So that being said, I'm not sure what it spurs with respect to a near term. I think it's a matter of I'm going to go back to the franchisee operator. It is going to help them directly but you still have to have the footprint through the restaurant, for people to be spending money and they're looking at bottom line. It's going to help them from that perspective but if they're making money they're going to be investing. So if that does it, you're going to see it, but it may not help everybody. It's like the bonus depreciation for a lot that was happening on the cranes. People waited until the end of the year until they really made those decisions when their tax accountants told them you either have to spend money or not. And I know it sounds simple but that's how a lot of people bought late in the year when you had the 100% bonus depreciation.
Operator: Next we go to Mig Dobre with Robert W. Baird.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: I'm going to have to go back to Bauma because I'm really looking for a little more clarity around orders and the show itself, and I understand that sentiment was good and you made comments surrounding the show itself. But your press release states that you booked substantial crane orders for delivery in 2013. So I think back to a prior question, does that imply different seasonality in orders, and really how should -- what's a fair expectation to have for orders sequentially or year-over-year, however you want to frame it?
Glen E. Tellock: Mig, I'll go to your first question which is does it imply a different seasonality. One trade show shouldn't designate a trend. And so I guess, you have to look at, okay, what's it over the first 2 quarters? And this is -- we have this conversation every 3 years and we'll have it again next year when you have ConExpo in the first quarter and not the second quarter because we'll be comparing a different number. So that's really what we're looking at. I don't know that it implies a different seasonality. It implies that the show happened to fall in the second quarter this year as opposed to a different quarter. Last year was Intermat, that's not a big order-taking show. That's more regional and then the same thing happens in the fourth quarter when you have, sometimes you have Bauma China or [indiscernible] in China. It's dependent on that. That's why we're trying to give you a little bit of feel to say it was a good order show and so you don't know if it's a deferral from the first quarter that somebody already had it, or it makes the second quarter better. But you can look at it either way. I don't think it makes a difference [indiscernible] in seasonality.
Mircea Dobre - Robert W. Baird & Co. Incorporated, Research Division: Okay. I hope you can understand why I think all of us are sort of gravitating back to this question, though. Then sort of looking a little bit longer term, I wonder if you can share with us your outlook for crawler and tower cranes over the, say, next 2 to 3 years. Where do you think we can get volume wise versus the prior peak? And with that in mind, what are your thoughts on your overall cost structure in crane? How would that match your volume outlook over the next 2 to 3 years?
Glen E. Tellock: Well, that's a good question. When you look at what we would tend to believe, I would say we look at where the next peak may be. We can all argue that in cranes. But we believe that the only product line that wouldn't get back to its prior peak would be the tower cranes, and so that's why you see a lot of work that's going on in the, right now, in the tower crane side of the business with some of the moves that we're making from a manufacturing standpoint and those kinds of things. We're trying to say, okay, "How do you best minimize and get an efficient cost structure in the tower cranes worldwide?" We've done the same thing with the crawler cranes and that's why a lot of these things -- if we knew 5 years ago in the last downturn what we know today, you always do things differently if you could go back and relook at it. So I think to answer your question, towers is really the only one that we don't believe gets back to the peak and that's why we're working on implementing the cost efficiencies and things that Eric already talked about that we're doing there, with respect to the rest of the cost, I mean, we're pretty comfortable with the things we're doing. As an infrastructure in the business, but we really have some opportunities to continue to wean out every one of our facilities worldwide. That's where you get the biggest improvements.
Operator: And next we will go to Seth Weber with RBC Capital Markets.
Seth Weber - RBC Capital Markets, LLC, Research Division: I'm going to go back to the order question in the crane business. So I mean, you have a revenue guide out there, plus or minus $2.6 billion, $2.7 billion sort of where you get on a high single-digit growth rate. So in my mind, that assumes that orders need to start to pick up to something in the, at least, into the mid $600 million range soon to kind of hit that type of revenue number. So in that spirit, can you tell us whether you think orders will be up in the second quarter year-over-year or whether you expect book-to-bill to be over 1 in the second quarter? Is that a fair way to think about it?
Carl J. Laurino: I think probably the challenge that we have here is that there's always an ebb and flow to the orders. There's -- we just don't make a practice of forward projecting what our orders are. We can say that what we stated in the press release and reiterated in our prepared remarks is true. The order activity in a show that tends to be a good order show and the business is good, and our expectations were realized. But it's not going to yield. That 1 week show will not enable you to make a comment just based upon what happens in the show, that enables you to essentially relax relative to what you need for the full year in order to get to your revenue guidance. But everything that we did experience in terms of bulk orders at the show, the things that we think all of the activity at the show reflects certainly gives us enhanced confidence that we're going to be able to deliver the guidance that we've provided. And I would say the trend from the show holds, I think, it's reasonable to expect that we would have some maybe better than historic trend second quarter orders, but it's not going to be predicated on just what happened at the show.
Seth Weber - RBC Capital Markets, LLC, Research Division: I understand that. But the language in the release talks about increased confidence and so that's where I think people are trying to get comfortable with what's making you more confident. I mean, is there any -- can you give us any cadence of orders through the quarter? I mean, one of your peers talked about progressively monthly things were getting better January, February versus January, March versus February. Did you experience anything like that?
Eric P. Etchart: Yes, we saw similar trends, Seth.
Seth Weber - RBC Capital Markets, LLC, Research Division: Okay. Can you talk -- I think, Eric, you may have mentioned that LatAm is becoming more competitive. Is that for, I guess, Chinese OEM, or can you give us any more color on who that competition is coming from? And more broadly, are you seeing any change in the competitive environment given the weak yen?
Eric P. Etchart: Well, first of all, these are more the traditional first year competitors that are active, very active in Latin America. So in that respects, we haven't seen really major inroads from the Chinese, maybe outside of a small truck range in Brazil but that's not impacting us really. But it's because the market are active and I think it's important for every manufacturers to have some kind of market share and traditionally we are very, very strong in Latin America, absolutely no doubt. What was the second part of the question?
Seth Weber - RBC Capital Markets, LLC, Research Division: Just the yen, we've heard some discussions about, yes.
Eric P. Etchart: Yes, it certainly gives some tractions and some steam to the Japanese competitors and especially we see that in Asia and in the Middle East. They are definitely more aggressive, so that's helping them, definitely.
Seth Weber - RBC Capital Markets, LLC, Research Division: But broadly, are you expecting Manitowoc crane pricing to be up this year?
Eric P. Etchart: Yes, we should be slightly up. We have to offset a little bit of cost, material benefits according to at least [ph] what we have seen but we will have some pricing, modest pricing, I would say.
Operator: And next, we go to Ann Duignan with JPMorgan.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: I just wanted to take a step back on the Foodservice side and clarify something. You said customer deferrals in Q1 but in your commentary, it sounded more like these weren't orders that you already had in hand, the customer said, "Oh, whoops, I don't want to take delivery now, I'll take delivery later." And these were orders that never happened that you thought might happen. Can you just clarify which of the 2 you meant by customer deferrals?
Glen E. Tellock: Yes, Ann, it's not orders we have in hand. It's conversations with different customers that are going to begin projects and they decide to defer when they need equipment during the year. They have conversations with -- they have their business plans and they share information with us on a periodic basis and basically, sometimes we try to anticipate from a manufacturing standpoint, from an ordering standpoint the inventories and that kind of thing. We try to anticipate what their needs are. But, yes, it's more -- it's not orders in hand. It's just because that stuff moves pretty rapidly, there's not a lot of backlog in Foodservice. So it's just a matter of when they begin to spend their money.
Ann P. Duignan - JP Morgan Chase & Co, Research Division: Okay. Most of my other questions have been answered but I just wanted to try, have you had any discussions with the activist investor who owns a significant percent of your shares now, have there been any conversations with them?
Glen E. Tellock: Typically, we don't talk about any conversations with shareholders but, no, I'm not aware of any conversations.
Operator: And next we will go to Eli Lustgarten with Longbow Securities.
Eli S. Lustgarten - Longbow Research LLC: Just a couple of quick [ph] questions but I now we've covered most of the territory. On Bauma, I guess the indication, most of the orders that you received were for '13 delivery, were there any longer lead time, these projects that would have gone into '14? And secondly, what was the pricing like at Bauma? I mean one of your big competitors is much more interested in market share this year than they are in volume, than they are in profitability, from what I hear and between that and some of the Chinese getting very active, we hear there's very, very active pricing competition out there?
Glen E. Tellock: To answer that and it probably gives me an opportunity to try to summarize the confidence in our revenue numbers for the year again. First off, yes, most of the orders are going to be -- anything substantial is going to be in 2013. I mean, there's spillover, but it's not significant to worry about any spillover in 2014. To your comment to the market share versus the pricing, look, we tell our people everyday that you can't feed your family on market share. And so, yes, there's probably a lot of hoopla. We saw 1 customer that if you bought 1 product they had, they were giving away a Maserati. You tell me how that works. I don't know. But no, we weren't giving away anything free. We didn't have any promotions. I mean, we have -- it's a typical pricing that we have, any conversation we have with the customer. I mean, again like I said, some of these things, our salespeople have been talking to these customers about the products they were going to see at Bauma for months and they close the deal at Bauma. I mean, sometimes it's to be in front of Eric, the senior staff, the regional president to have that opportunity that to talk to people, so it's not about getting market share. I don't know what our competitors sold. All we know is what we sold, and so that's the way we look at it. I would take this opportunity also, Eli, to just say and try to clarify some of the confusion between our orders and our confidence. We give guidance at the beginning of the year based on a lot of assumptions. And as we go through the year, we have to check off some of these assumptions that we feel better about, and the order trends we're feeling better about because of what happened at Bauma, the confidence that people have projects, whether it's contractors or rental fleets. When it comes to utilization rates, when it comes to rental rates, all of these things that's why we say we feel better that business is improving a bit and so that we can meet those revenue projections. These orders we get at Bauma are just 1 item we have in all of our assumptions. As Carl said, to give us that confidence that we expected it to be good and it was good, so let's check the box. It's another arrow on our quiver that we feel better about our guidance and don't have to change it. So I don't know the changes in the seasonality, these other things. I just wanted to get that point out. Eric?
Eric P. Etchart: Let me give you why -- about pricing, I would say one of the trends that we can see moving forward and what's kind of obvious at Bauma is that the customer are becoming smarter and more sophisticated when they make their crane-buying decisions. It's not all about price. It's not because of telematics and all these other things that you really look at the cost of an issue. They look at the reliability, the MTBF, the residual value, the after-sales support and all this plays very much into -- it plays out very well now. And I must say that the smartest people and the best crane company in the world buying our cranes for those reasons. So I think it's important and I think it's a trend. The customer are getting more sophisticated in their purchasing decision.
Eli S. Lustgarten - Longbow Research LLC: Let me ask a quick question on food equipment. You have 2% in volume in the first quarter. You're still talking about, I guess, mid-single digit. Industry forecast very consistently, of course, would have been up talking about food revenues up about 4% this year. That seems to be the standard across the board. It seemed to me you have a little bit higher target ranges than that. Is that mostly because of the new products, the market share gains that you're talking at because it doesn't look like the end-market condition that the industry is pretty uniform about low-single digit topline growth.
Glen E. Tellock: Eli, I concur with your number there on the 4%, maybe even a little bit lower but not substantially. But I would say that we do try to tend to target GDP growth or industry growth times 2, I mean, and that's because of the new products and that's because of market share gains that we believe we can get through products we introduced previously. So yes, I think we typically will have a little bit higher target than what the market would entail.
Operator: And it does appear there are no further questions in the queue at this time. Mr. Khail, I'd like to turn the conference back to you for any additional or closing remarks.
Steven C. Khail: Before we conclude today's call, I'd like to remind everyone that a replay of our First Quarter Conference Call will be available later this morning. You can access the replay by visiting the Investor Relations section of our corporate website at www.manitowoc.com. Thank you, everyone, for joining us today and for your continuing interest in the Manitowoc Company. We look forward to speaking with you again during our Second Quarter Conference Call in July. This concludes today's call. Have a good day.
Operator: And that does conclude today's conference. We do thank you for your participation.